Operator: Good afternoon, and welcome to Red Rock Resorts Fourth Quarter and Full Year 2025 Conference Call. All participants will be in listen-only mode. Please note this conference is being recorded. I would now like to turn the conference over to Stephen Cootey, Executive Vice President, Chief Financial Officer, and Treasurer of Red Rock Resorts. Please go ahead.
Stephen Cootey: Thank you, operator, and good afternoon, everyone. Thank you for joining today for Red Rock Resorts' fourth quarter and full year 2025 earnings call. Joining me on the call today are Frank Fertitta III, Lorenzo Fertitta, Scott Kreeger, and our executive management team. I would like to remind everyone that our call today will include forward-looking statements under the safe harbor provisions of the United States federal securities laws. Developments and results may differ from those projected. During this call, we will also discuss non-GAAP financial measures. For definitions and complete reconciliation of these figures to GAAP, please refer to the financial tables in our earnings press release, Form 8-Ks, and investor deck, which were filed this afternoon prior to the call. Also, please note this call is being recorded. The fourth quarter represented another period of exceptional performance for the company. Our Las Vegas operations set new fourth quarter records for net revenue and adjusted EBITDA while maintaining near-record adjusted EBITDA margin. This marked the ninth consecutive record quarter for both net revenue and adjusted EBITDA. For the full year, our Las Vegas operations delivered their strongest performance on record, achieving all-time highs in net revenue and adjusted EBITDA, including producing more than $900 million in adjusted EBITDA for the first time in our 50-year history while maintaining near-record adjusted EBITDA margin. These results mark the second consecutive year of record net revenue and the fifth consecutive year of record adjusted EBITDA, underscoring the strength, consistency, and long-term earnings power of our operating platform. In addition to delivering strong financial results in 2025, we remain very pleased with the continued performance of Durango Casino Resort and the successful revenue backfill at our core properties. Durango continues to expand the locals market and drive incremental play from our existing customer base, reinforcing its position as a meaningful growth driver within our portfolio. On December 15, we completed our latest expansion to Durango, adding more than 25,000 square feet of new casino space, including what we believe is the premier high-limit slot area in Las Vegas, along with a covered parking garage providing nearly 2,000 additional parking spaces. While still early, customer response has been overwhelmingly positive, and early operational results continue to validate our capital investment into high-limit slot and table areas across our portfolio. Building on the success, on January 5, we broke ground on the next phase of Durango's master plan, further advancing the property's long-term growth strategy. Supported by strong market fundamentals and rapid development of the surrounding area, including more than 6,000 new households within a three-mile radius of the property over the next few years, this phase will expand the podium along the north side of the existing facility by more than 275,000 square feet. The expansion will add nearly 400 additional slot machines and Android gaming to the casino floor while also introducing a range of new amenities designed to drive repeat visitation and broaden customer appeal. These enhancements include a state-of-the-art 36-lane bowling facility, luxury movie theaters, a mix of new restaurant concepts, and multiple entertainment venues, highlighted by a partnership with Moonshine Flats, which will bring its signature country-western bar and live music concept to Vegas for the first time. Construction is expected to take approximately 18 months to complete, and the total project cost is estimated to be approximately $385 million. Upon completion of this expansion, we believe Durango will be better positioned to capture additional market share and drive sustained growth in the local market. Now let's take a look at our fourth quarter and full-year results. With respect to our Las Vegas operations, our fourth quarter net revenue was $505 million, up 2.5% from the prior year's fourth quarter. Our adjusted EBITDA was $231 million, up 3.2% from the prior year's fourth quarter. Our adjusted EBITDA margin was 45.8%, an increase of 32 basis points from the prior year's fourth quarter. On a consolidated basis, our fourth quarter net revenue, which includes $3.7 million from our North Fork project, was $511.8 million, up 3.2% from the prior year's fourth quarter. Our adjusted EBITDA, which also includes $3.7 million from our North Fork project, was $213 million, up 5.4% from the prior year's fourth quarter. Our adjusted EBITDA margin was 41.7% for the quarter, an increase of 84 basis points from the prior year. Let's turn to our full-year performance. With respect to our Las Vegas operations, our full-year net revenue was just under $2 billion, up 2.9% from the prior year. Our full-year adjusted EBITDA was $915.9 million, up 4.2% from the prior year. Our full-year adjusted EBITDA margin was 46.2%, an increase of 56 basis points from the prior year. On a consolidated basis, our full-year net revenue, which includes $17.6 million from our North Fork project, was $2 billion, up 3.7% from the prior year. Our full-year adjusted EBITDA, which also includes $17.6 million from our North Fork project, was $848.6 million, up 6.6% from the prior year. Our full-year adjusted EBITDA margin was 42.2%, an increase of 114 basis points from the prior year. In the quarter, we converted 62% of our adjusted EBITDA to operating free cash flow, generating $131.5 million or $1.25 per share. When looking at our 2025 cumulative free cash flow, we converted 55% of our adjusted EBITDA to operating cash flow, generating $466.3 million or $4.44 per share. This significant level of free cash flow was strategically deployed to support our long-term growth initiatives, including our most recent projects at Durango, Sunset Station, and Green Valley Ranch, and returned to our stakeholders through debt reduction, dividends, and share repurchases. In the fourth quarter, we remained focused on our core local guests while continuing to grow our regional and national customer base across our portfolio. Compared to the fourth quarter last year, we saw continued strength in carded slot play across our database, including our regional and national customers. Robust visitation and net theoretical win across our local database, as well as our regional and national customers, helped drive the highest fourth quarter revenue and profitability for our gaming operations in the company's history. Turning to our non-gaming, both hotel and food and beverage delivered another strong quarter, achieving near-record revenue and profitability in the quarter. The hotel operations performed exceptionally well, generating near-record results despite the West and East Towers at Green Valley Ranch being offline for renovation. The food and beverage operations achieved record revenue and near-record profitability for the quarter, supported by higher cover counts across our outlets. In group sales and catering, our teams delivered near-record fourth quarter revenue, and if we exclude the lost room nights from our Green Valley Ranch room renovation, we continue to see positive momentum into 2026. As we start the first quarter, we have continued to see stability in our core slot business within the locals market and across our carded database. While we expect near-term disruption impact from our ongoing construction projects at Durango, Sunset Station, and Green Valley Ranch, we remain as confident as ever in the strength of our business and long-term growth prospects. Now let's cover a few balance sheet and capital items. The company's cash and cash equivalents at the end of the fourth quarter were $142.5 million, and the total principal amount of debt outstanding was $3.4 billion, resulting in net debt of $3.3 billion. As of the end of the fourth quarter, the company's net debt to EBITDA ratio was 3.87 times, marking the seventh consecutive quarter of deleveraging, demonstrating both the earnings power of our operating platform and the stability of our balance sheet. During the fourth quarter, we made total distributions of $72.3 million to the LLC unitholders of Station HoldCo, including a distribution of approximately $42.4 million to Red Rock Resorts. The company used a portion of the distribution to fund its previously declared quarterly dividend of $0.26 per Class A common share and to repurchase almost 880,000 Class A common shares at an average price of $54.67 per share under its previously announced $900 million share repurchase program, reducing total shares outstanding to approximately 104.9 million. When combining the dividends and the share repurchases made throughout the year, we returned approximately $296.9 million to shareholders in 2025, demonstrating our ongoing commitment to disciplined capital allocation and delivering sustainable long-term value to our shareholders. Capital spend in the fourth quarter was $78.9 million, which includes approximately $64.2 million in investment capital as well as $14.7 million in maintenance capital. For the full year 2025, capital spend was $319 million, which includes approximately $227 million in investment capital, as well as $92 million in maintenance capital, down from our previous guidance mainly due to the timing of capital expenditures. As we look into our capital spend for 2026, we expect to spend between $375 and $425 million, which includes $275 million to $300 million in investment capital, as well as $100 million to $125 million in maintenance capital. In addition to our continued investment in our Durango property, we are making significant investments in our Sunset Station and Green Valley Ranch properties. At Sunset Station, we continue to make strong progress on our podium refresh. The $53 million renovation will include an all-new country-western bar and nightclub, a new Mexican restaurant, a new center bar, and a fully renovated casino floor. Customer feedback and initial performance from the completed portions of the project have been overwhelmingly positive, reinforcing our confidence in the direction of the renovation and the underlying consumer demand at the property. The project remains on budget, with the remaining amenities expected to continue to come online throughout 2026. Building on this momentum, we are pleased to announce the next phase of Sunset Station, which is designed to further strengthen the company's competitive position and broaden its customer appeal, positioning it to capitalize on the strong demographic trends and continued growth in the Henderson market. Particularly from the master-planned communities of The Sky and Cadence, which are expected to deliver more than 12,500 new households at full build-out. The next phase will continue the comprehensive casino refresh, including expansion and enhancement of the movie theaters, as well as the relocation of the temporary bingo area currently housed in our former buffet space to a new permanent location. Upon completion of the bingo relocation, the former buffet space will be converted into a new high-end steakhouse and high-limit table games room, leveraging a proven strategy of investing in the higher-end value segments of our database that has consistently generated strong returns across our portfolio. Work on this phase is expected to begin in the second quarter, with the remainder of the project commencing in 2026 and extending into early 2027. The total project cost is estimated at approximately $87 million. At Green Valley Ranch, we continue to make progress on the comprehensive refresh of our guest rooms, suites, and convention spaces, aligning the hotel experience with the recently renovated and well-received high-limit table and slot rooms at the property. Renovations to the West Tower are now complete, and the tower has reopened to strong customer reviews and, while still early, encouraging financial performance despite the ongoing disruption on the property. Renovations to the East Tower and the convention spaces commenced during the fourth quarter. We expect the convention spaces to return to service late in the first quarter, while renovations to the East Tower are expected to extend into 2026. Continuing with Green Valley Ranch's long-term redevelopment strategy, we are advancing on the next phase of enhancements at this resort. This phase is designed to further strengthen the property's competitive position as one of the premier resort destinations in Las Vegas and broaden its customer appeal through a fully refreshed casino floor along with upgraded food and beverage and entertainment offerings. These enhancements build on the success we have seen from both the high-limit product at the property and the early performance of the renovated room inventory and are intended to drive increased visitation and deepen customer engagement across the resort. Work on this phase has already begun and is expected to extend into 2027, with total project costs estimated at approximately $56 million. Turning now to North Fork, construction continues to progress very well, with the opening of the project on track for an early fourth quarter 2026 opening. Total all-in project costs remain approximately $750 million and are fully financed. As of the end of the quarter, Red Rock's outstanding note balance due to the tribe was approximately $77.9 million. You may have heard or read about an unfavorable ruling the tribe received from a California court in December on a single remaining legal matter. This is the same case we have discussed in the past, and we do not believe this ruling will interfere with North Fork's right or ability to conduct gaming on its federally trust land. We remain excited about this best-in-class development, pleased with the continued progress of construction, and we look forward to providing further updates on future earnings calls. Consistent with our balanced approach to investing in long-term growth and returning capital to our shareholders, and following the completion of our fifth consecutive year of record adjusted EBITDA, we are pleased to announce that the company's Board of Directors has declared a special cash dividend of $1 per Class A common share payable on February 27 to Class A shareholders of record as of February 20. This action reflects the continued strength we are seeing in our business and the confidence we have in the long-term earnings power of our operating model. In addition, the company's Board of Directors has also declared its regular cash dividend of $0.26 per Class A common share, payable on March 31 to Class A shareholders of record as of March 16. With the fourth quarter behind us, the strong momentum from 2025 has carried into the current year, reinforcing our confidence in the strength and resilience of our business. Durango continues to validate our long-term growth strategy and underscore the value of our own development pipeline and real estate bank, which includes more than 450 acres of developed land in highly desirable locations across the Las Vegas Valley. Combined with our portfolio of best-in-class assets in premier locations, this pipeline positions us for significant long-term growth and enables us to fully capitalize on the favorable demographic trends and high barriers to entry that define the Las Vegas locals market. Looking ahead, we remain focused on executing our development pipeline, maintaining operating discipline, and delivering enhanced shareholder returns through a balanced, consistent, and disciplined capital allocation strategy. We want to take a moment to sincerely thank all of our team members for their continued hard work and dedication. Our success truly begins with them; they are the heart of our company and the driving force behind the exceptional guest experiences that keep our customers coming back time and again. In recognition of their efforts and in addition to the many accolades we have received in recent years, we are proud to share that Station Casinos has been recognized by Forbes as one of America's best large employers for 2026. This meaningful honor recognizes organizations nationwide that go above and beyond to create an outstanding culture for their team members and reflects our continued commitment to fostering a workplace where individuals feel valued, supported, and empowered to grow and succeed. Lastly, we extend our heartfelt gratitude to our loyal guests for their unwavering support over the past six decades. We are deeply thankful for the trust they place in us and look forward to continuing to serve our communities for many years to come. With that, operator, we are happy to open the line for questions.
Operator: We will now begin the question and answer session. To ask a question, you may press star then 1 on your telephone keypad. If you are using a speakerphone, please pick up your handset before pressing the keys. To withdraw your question, please press star then 2. Our first question today is from David Katz with Jefferies. Please go ahead.
David Katz: Hi, good afternoon, and thanks for taking my question. Look, I think we've, you know, we look at the Las Vegas Valley as a whole, and I know we've discussed in the past the connection between, you know, what may go on in the strip, what may go on in other destination pockets within the valley. Can you just talk about what you're seeing in terms of demand levels, you know, as it relates to other areas? Because, candidly, you know, we've heard sort of pockets of weakness and, you know, forward-looking strength. Just give us an update on what you've seen and are seeing. Thank you.
Scott Kreeger: Hi, David. It's Scott. Thanks for the question. Probably the best place to start would be in the hotel, and then we can kind of transition into other revenue areas. For the quarter, it's important to note that you have to adjust for the rooms that were out at GVR. When you do that, we performed quite well. So the down in the hotel was essentially the room night that we lost being down at GVR. So if you baseline that from an ADR perspective, an occupancy perspective, and an overall revenue perspective, we did quite well. And we did much better than what is publicly available from a RevPAR perspective compared to the strip. That was really a function of strong sales effort on the part of our sales team and then also Red Rock and Durango from a leisure segment having very high ADR. So we like where we sit in hotel, and we think that our hotel product is differentiated from the strip in that regard. The quality of our assets, the value proposition, and the ease and location of our properties really let us compete at a different level when it comes to the hotel. From a gaming perspective, we continue to see regional and national be one of our strongest performing areas of the database. And as Steve mentioned, we had a record fourth quarter revenue in gaming. And, again, we think that's attributable to a couple of things. One, the investment in our high-limit rooms and our move towards higher net worth customers. As well as the quality of our assets where people are finding from a regional national perspective that our offering is quite compelling versus the strip from a convenience and quality perspective.
Stephen Cootey: Ivan, I don't know if you want to add anything.
Scott Kreeger: Yeah. I mean, David, I know a lot of what comes to this between the strip and the local. It kind of really does start that, you know, we don't rely on tourism. We don't rely on conventions. We don't rely on hotel-driven revenue, right? We are a locals market, incredibly gaming-centric. We offer a distinct value proposition to our guests. And we rely on our guests to come back multiple times a month. In fact, 50% of our guests come over eight times a month. I think that is a differentiating fact between, I think, us and the Strip.
Scott Kreeger: And I think the other thing is if you look at the locations that we have within the Locals market, we have the best locations in the market. Strategically located off the beltways. And where our properties are located is where all the new growth and new housing is taking place. So we feel great about where we are.
David Katz: Okay. Thank you very much.
Operator: The next question is from Ben Chaiken with Mizuho. Please go ahead.
Ben Chaiken: Hey, how's it going? Thanks for taking my question. You know, there's a number of new projects you're working on. Given there's some updated timelines, you know, in coordination with phase two at Sunset and phase two of GVR as well as Durango, which was previously announced. Can you help us with maybe the total construction disruption that you're thinking in '26 and maybe any cadence that would be relevant? Thanks.
Stephen Cootey: Sure. I can start. And I know the team can jump in. So if I kind of go back to Q4, Q4, we experienced probably about $5.1 million of disruption, mainly at our Green Valley Ranch property. When I looked at our Sunset Station property, the disruption was minimal. So there's some slight differences we previously announced. Being said, we don't know how much better we could have done if we weren't renovating the casino. It's a bit of a gut feel other than the hotel segment at Green Valley. We know we got 300 rooms now, so we can calculate that, obviously.
Frank Fertitta III: Exactly. And so and I think that Frank would echo that same point about Durango where we're just beginning construction. On the North Valley, and we're doing our best in both the Sunset project and the Durango project to mitigate and minimize the operational impact while maintaining construction timelines. So moving into the first quarter, as Lorenzo mentioned, Green Valley Ranch is very easy to calculate because it's all rooms based and we have a history on that. We are going to be in peak construction. On the East Tower and the convention in Green Valley, so we expect disruption approximately about $9 million. And then as mentioned, we're going to continue to manage and monitor the potential impacts at Sunset Station and Durango on those projects as they move forward to what's called a more active basis of construction. But I do want to remind everyone that, you know, while these impacts, all these disruption impacts are very short term in nature, you know, the redevelopment of our properties to ensure that we remain best in class equipped with amenities that keep allowing our guests to return time and time again. That is central to Frank and Lorenzo's strategy. So over the long run, we expect to generate significant return from these capital investments. And further widen our competitive advantage from other locals in the market but also, the strip.
Ben Chaiken: Okay. That's helpful. I guess, isn't it is $9 million a good bogey then for the for the year? I mean, that that sounded like just a one Q number.
Stephen Cootey: That was the one number. I think you're going to end up maybe, like, $4 or $5.5 million probably in Q2 at Green Valley. And I'm hesitant right now to, as Frank and Lorenzo talked about, the Durango and the Sunset seem more of a gut feel. So not ready to give guidance on that one just yet. Initially, Lorenzo, on Green Valley, you know, that disruption, those rooms should be coming will be coming online. In July, kind of by summer. The, all the rooms should be delivered by then. So that's and the meeting space. So it's it's not far away. We're getting through the brunt of it right now.
Ben Chaiken: Thank you.
Operator: The next question is from Barry Jonas with Truist Securities. Please go ahead.
Barry Jonas: Hey, guys. Generally, I think Q4 to Q1 EBITDA is usually up about apologies, 6% to 7%. Any reason outside of the disruption to think that could bear better or worse this year?
Stephen Cootey: Yes, Barry, I think your number might be a little high as I always thought of seasonality between Q4 and Q1. It depends how far you go back. We go back, I go back prior to COVID, so I'm usually about 5.5%. Yeah. But I don't think that there's any reason that we can't achieve those returns. The one note being, that $9 million disruption. And just note, just so there's no confusion, right, that means roughly if I'm going sequentially, as you just did, that would mean really $3.9 million in extra disruption at Green Valley versus Q4.
Barry Jonas: Great. And then just at a high level, some type of project.
Stephen Cootey: Sorry, Barry. Got it. And then just as a follow-up, you know, as we head towards tax refund season, maybe just give your latest thoughts about expectations for any top line benefits from, the one big beautiful bill. Thank you.
Scott Kreeger: Mean, Barry, I mean, I think ultimately, we're looking forward to attach return just started. I mean, the tax return season just started. I think the way these generally trend, if I look at 25% to 24%, about one-third of these refunds are done by sometime, let's call it, late February, and almost 50% of them are done by by mid-March. But, you know, the key measures there include the elimination of the, you know, the federal tax on tips. You're looking at overtime, the new senior tax credit, the reduction in marginal tax rates. And increased child and family tax credits as well as expanded standard deductions. We feel, especially given where our assets are positioned and where where people are moving to and where people currently are, that we are in prime position to take advantage of that excess discretionary income hitting the Las Vegas locals market.
Barry Jonas: Perfect. Thank you.
Operator: The next question is from Chad Beynon with Macquarie. Please go ahead.
Chad Beynon: Hi, good afternoon. Thanks for taking my question. With respect to the GVR and 2027. How does that affect the timing of the developmental pipeline for greenfield projects beyond this year? Thank you.
Lorenzo Fertitta: Yeah. This is Lorenzo. It doesn't affect it at all. It's just part of our kind of ongoing strategy. We really believe that you know, the key to our long-term success is investing in our existing properties and keeping them fresh. And like Steve said, it it it helps continue to separate us from from our competition. It also, I think, is allowing us to start the game some market share, grab some market share even from the strip as we're seeing a lot of customers particularly on the high end, that are coming over that historically had stayed in the strip that are now staying with us based on know, the amenities we have and the services that we provide. So listen, anytime that we go out and say that we're gonna invest money in a high limit slots and high limit table games at these properties, believe me, that's a great investment, and that's something that that you guys should be really happy about. We've seen great returns on those investments and it's just part of the process of how we've repositioned the the the properties and the brand coming out of COVID from, you know, all those spaces prior to that were essentially buffets where a lot of those buffets, people coming into the property, they were discounted buffets. They were it was a lost leader, and we've completely flipped that from that being a loss to being now assets that are generating substantial profit. As far as, you know, new builds, I mean, that is really what we believe is our one of the core competencies of our company is being able to go out, identify a piece of property, start from scratch, design the property, first on ingress, egress, and then figuring out what the what the product wants to be and how we're gonna how we're gonna operate it. We're currently working on multiple properties right now, I would say, in kind of full-on design. We have entire we're going through the entitlement process, on them. And, it just takes time. And we'll have an update you know, hopefully fairly soon on exactly what the time frame is gonna be. But the investments that we're making in our current properties will have no effect at all on on new properties and new builds.
Chad Beynon: Okay. Great for that, extra color. And then, you know, it sounds like we're hearing some conflicting things in terms of just the the buzz and activity at your properties and and around, you know, the locals market for for the Super Bowl. Think most of the headline media was around, you know, strip prices, but we heard different things in the locals market. Can you maybe just talk broadly around how traffic was this weekend and you know, given the game outcome, if there should be a negative headwind for the first quarter versus, last year?
Scott Kreeger: Yeah, Chad, this is Scott. I can tell you I had the pleasure of touring the properties on Sunday and walking with the general managers and want to give them and their team a lot of support for what they did. I can tell you there's no better place to be on Super Bowl week than a Station Casino property. We had every property fully programmed, whether it was the bars, the restaurants, the racing sports book. VIP parties, for our best guests, we were buzzing, and and we had decent results from the Super Bowl from a betting perspective. And and even better results from a from a gaming perspective on slots. Food and beverage. And and if there was any slowdown, I'll it wasn't in our properties.
Chad Beynon: Thanks, Scott. Appreciate it, guys.
Operator: The next question is from Jordan Bender with Citizens. Please go ahead.
Jordan Bender: Hey, everyone. Thanks for the question. I want to hit on the 90% deduction from the one big beautiful bill. From what we can see, it doesn't seem like there's much momentum to revert it back to what it was. So you know, have you guys done any work around how much of a threat that could be, particularly for the high-end business?
Scott Kreeger: This is Scott. I'll take it. First from a customer perspective, and then maybe Steve can talk a little bit about what to do about it. For the most part, if there was an impact, it's relatively centered around just education and and our customers trying to figure out what it means. So to the degree we can, we try to help them understand, you know, the language in the bill and how it affects them. Steve could probably elaborate a little more on the mechanics of it and know, what we're doing in conjunction with not only just us, but the whole gaming industry. Industry. In trying to rectify the legislation to get it adjusted back to where it was.
Stephen Cootey: Sure. I mean, I'll I'll I'll I want to keep it incredibly high level because I think you you touched on it. I mean, the the rule is incredibly confusing. And so I think that the the main goal here, particularly since legislative seems a little bit tougher to find, is work through administratively through the IRS just to give some clarity around what 90%, than how the 90% rule works. And so and making and then finding a mechanism industry-wide to get that out to our, you know, to our players and our customers.
Jordan Bender: Great. Thanks, Steve. And I guess Steve, sticking with you, as we think through your leverage, we kind of run the CapEx numbers through our model and our when our models are spinning out is maybe leverage is gonna stay at the current levels over the next year or so. Can you just remind us, like, where you were comfortable running the business as we think about, you know, if in a way we do get the new a new new build project? Thank you.
Stephen Cootey: Yes. I mean, I think in the current leverage position right now, we're we have an incredibly strong balance sheet, ample liquidity, very flexible credit agreement and no long-term maturities. So think at 3.87 times, that's the seventh consecutive quarter of deleveraging. We feel that the balance sheet here will find will provide Frank and Lorenzo a good foundation in which to grow not only their existing capital projects, return capital to our investors, but also position us, for the next greenfield, you know, the greenfield investment. If leverage were to creep up because there was a market opportunity, either that they wanted to accelerate their new projects or accelerate reinvest where they saw that they were gonna generate ample return, feel that we could temporarily move leverage beyond where we currently are and still be very comfortable with the balance of the balance sheet.
Jordan Bender: Understood. Thank you.
Operator: The next question is from Steve Pizzella with Deutsche Bank. Please go ahead.
Steve Pizzella: Hey, good evening and thank you for taking our questions. Just on the promotional environment, can you talk about what you're seeing in terms of promotional activity in the competitive behavior in the locals market?
Scott Kreeger: Steve, this is Scott. It's been very consistent. So as we've mentioned on previous calls, you know, there are small single-unit operators that have always been competitive promotionally, it in the grand scheme of things, it's not changed a bit over probably the last couple years. So very stable environment.
Steve Pizzella: Okay. Thanks. And then just knowing that it it is a smaller part of your business, but with the strong group calendar on the strip expected this year, a commentary that you believe you are getting some demand that might have gone to the strip before. Do you expect to receive any benefit from the group business as well?
Scott Kreeger: Yeah. This is Scott again. I can tell you we had a great quarter. In the fourth quarter as it relates to hotel sales. And the associated catering. We see that moving into the first and second quarter of the year. And then as the booking window opens up for the back half of the year, we're encouraged as well. So we're we're happy with the sales team's effort and the bookings that we have on on the books so far.
Steve Pizzella: Okay. Great. Thank you.
Operator: The next question is from Dan Politzer with JP Morgan. Please go ahead.
Dan Politzer: Hey, good afternoon, everyone. Thanks for taking my questions. First, you guys have talked a lot about the benefits of your hiring rooms. Higher network customers. And as we're thinking about this kind of increasingly bifurcated consumer environment, I don't know. Is there any way to kind of frame out how you think about your portfolio, whether it's, you know, the the EBITDA contribution from the higher-end properties, the Durangos, GVRs, the the Red Rocks of the world. Just to kinda better so we can better appreciate the quality of the customer and the assets that you guys have?
Stephen Cootey: Well, mean, generally, Dan, as you know, we're not going to sit there and break down the segments. That's why we're all grouped. We group up by division. But you can be fairly certain that all the assets across the database performing really well.
Scott Kreeger: I think it's important to mention that we're A lot of our customers don't just play at one property. We have a lot of crossover play. You know, whether there's a property close to when they're getting off work or, you know, whatever is convenient. So you know, they don't tend to be siloed into one singular property.
Lorenzo Fertitta: And some of the other properties too, we've been encouraged just with the amount of higher in play that we're starting to see at places like Santa Fe and and Sunset Station. And even in Palace Station. You know, we're seeing some VIP high-end play. So it's pretty much throughout the system. Obviously, know, Green Valley, Durango, and Red Rock, kinda lead the charge there. But we're we're finding that as we add assets to these different areas assets. Different areas of the valley, we upgrade the assets that it's pulling you know, a higher-end customer overall to even those properties.
Scott Kreeger: And growing the market where maybe somebody wouldn't have come to that property before. Now coming to those properties. So part of the market the function of the market is, you know, what's the quality of the product that you provide? And Absolutely. We're seeing that the the service quality and the product quality is growing the market for us. Casting a wider net as far as what we're able to attract at the properties.
Dan Politzer: Got it. And then just just for following up, I I know you're not ready to give disruption from Durango phase phase. Know, phase two, phase three here. But, you know, as I think about the $120 million expansion what type of property that was on, now you have a $385 million expansion which I get extends over a fairly long period of time. Mean, is there any way to kind of couch, you know, relative to that $4 million disruption impact you had on on the prior phase just so we can kind of you know, try to try to, you know, tweak our expectations and and have them in the right place there?
Lorenzo Fertitta: Listen. A lot of it's a gut feel, but the reality is It's of a Yeah. The reality is with Durango North expansion is that we've seen historically where you see the the bigger parts of disruption is when you disrupt parking. Which which obviously affects convenience and which is all the locals market is all about is convenience. Or you take down hotel rooms like we've done at Valley Ranch because you just don't have the bodies in the building. Look. We we certainly expect we're gonna be disrupted at Durango, as we continue on with this. But, you know, we look at it as that it's short term. We're talking about a eighteen months or sixteen months from now. And then when we open the property with all these entertainment, amenities we're that we're gonna have you know, we're as confident as we've ever been in that property that foot traffic and gaming traffic going through that property is gonna explode Yeah. With the number of bodies that are gonna be there coming to these entertainment assets. So, Steve, I know what you're thinking from a a a disruption standpoint if we're ready to put a number out there. But
Stephen Cootey: I don't think we're quite ready. I mean, we're Dan, just I mean, I don't be a apologies. We're literally just one month away from dispensing out the property and kinda getting logistics down. And so while Lorenzo said that, you know, we're it's a short term, about sixteen months away really from completion.
Scott Kreeger: You know? You also you also have traffic improvements. Going on around there. That is that is Mike, it's you know, we just we don't really know.
Frank Fertitta III: Yeah.
Scott Kreeger: We can't quantify it. Maybe after we get ninety days in and see what's going on, you know, with the property, we'll have a better ability to communicate on that. But that's you know, it's just hard to put a number on. We don't know how much better we might be doing so that
Lorenzo Fertitta: That's the key. And, look, we as part of the last expansion that we just opened with the VIP, slot or the high limit slots, we opened a new garage. And I can say that every week, increasing the car counts going into the new garage. So about few years. People are figuring it out. They're finding their way. So we're encouraged from that standpoint. But, also, we've done this for a long time, and we know that, you know, you're definitely gonna feel the impact of disruption when you when when parking is disrupted. So
Stephen Cootey: And, Dan, if I kinda revert back to the question that that that Barry asked. Barry asked in a effect Q1 guidance. And so and so the way I answered him, I feel very comfortable given the seasonality output and then the, you know, the the the the disruption we gave on to Green Valley Ranch to achieving that. So think that kinda gives me a more perspective on the Durango disruption right now.
Dan Politzer: Got it. That's helpful. I appreciate all the detail. Thanks.
Operator: The next question is from Joe Stauff with Susquehanna. Please go ahead.
Joe Stauff: Thank you. Just one quick follow-up on the Doringo discussion. Is part of the disruption know, as as I understand it, is is from the road work and so forth. Is the state doing that? Or who dictates essentially the the disruption in the roadwork?
Scott Kreeger: Yeah, Joe. It's Scott. There's two projects that are going on. One, we have an apartment complex right next to us that's being developed. There is some trenching that's going on as we speak there. We're in tight coordination with them to minimize the disruption but that should be going on for a couple more months here. And then the county and is working on a on-ramp off of the access frontage road onto the freeway. And a widening of the left turn lane coming off of the freeway. Both of which will make ingress and egress much better to our property over the long haul. But that project is gonna probably go through the summer of next year. It has not started yet. You know, the bad the bad news is we have traffic construction, roadway construction. The good news is we wouldn't have it unless the valley was growing. You know? So we look at it as short term pain, long term gain.
Joe Stauff: Got it. And just one quick follow-up. What what is the outcome or the effect of the California ruling in December? Does this adjust the the opening date? What what is the effect of that ruling?
Stephen Cootey: I think as we indicated in in in the remarks, Joe, you know, we believe, you know, the impact is nothing. And so we believe that the the ruling can well, will not change our ability the tribe's ability to do gaming on federally trust land. Construction is moving incredibly fast. The team out there is doing an amazing job, and, we're looking forward to opening this project in the fourth quarter of 2026 on schedule.
Operator: Thanks a lot. The next question is from Steve Wieczynski with Stifel. Please go ahead.
Steve Wieczynski: Hey, Good afternoon. So, Steve, if we go back to all the there's been a lot of talk about, you know, the potential disruption this year, and you've given us a ton of helpful color. And some of it seems like you're still not certain in terms of what the overall impact is going to be. So I guess the simple question might be with, you know, with with all this disruption, as we think about 2026 versus 2025, can do do you still think you can grow your Las Vegas EBITDA base this year with with all this disruption?
Stephen Cootey: We do.
Steve Wieczynski: Perfect. Okay. Second question, Steve, you gave or Scott gave color around the rated play side of things. I guess the word I've you know, we're kinda pick on it sounds like it's very stable. You did you give any color? Did I miss it in terms of what you're seeing right now from a from a nonrated perspective?
Scott Kreeger: Yeah. For the quarter, nonrated was up. So you know, we see it both in our rated customer, our nonrated customer. Really a great quarter for the health of the database if you really dig in all the metrics.
Lorenzo Fertitta: It's Lorenzo, particular shrink, like I said before, the VIP segment. But also seeing strength in what I'll call kind of our younger segment demographic 21 to 35, up substantially. Once again, I think partially because of the amenities that we've added over the years, are really kinda speaking to the guest. They're appealing to a younger guest. And, you know, look. We've been encouraged because they're finding their way to slot machines and table games as well. So
Steve Wieczynski: Okay. Gotcha. Thanks, guys. Appreciate it.
Operator: The next question is from Stephen Grambling with Morgan Stanley. Please go ahead.
Stephen Grambling: Hey, there. Thanks for taking the question. This is a bit of, maybe a bigger picture question, but how do you generally think about the right level of maintenance CapEx across the portfolio, thinking about you know, maybe some of the bigger properties versus the smaller properties and you know, maybe part of the question, Zippides, is trying to think through the amount of capital you've deployed, maybe even relative to what we're seeing on the strip and if you could be seeing some kind of permanent share gains there. Thank you.
Scott Kreeger: We think one of the things that separates us is the fact that we're a wholly owned company. We're not an opcopropco structure. And Lorenzo and I take a long-term view towards the portfolio. And, you know, you have maintenance capital, which means what does it take to maintain where we are where customers are coming in. But we look at some of these repositioning of amenities and what we're doing at Durango. In the next phase is literally investments that cast a wider net and and draw more customers. Look. And we're owner operator.
Lorenzo Fertitta: We've been doing this since we were teenagers. And we we walked through the properties, obviously, on a on a regular basis, and we wanna make sure that they are looking appropriate to our customers and that we all the equipment and everything that that is needed for our team members to be able to provide their jobs and their function is provided. And I think as well, it just it it goes back to even historically when you look at what properties have outperformed on the strip. Right? I mean, if you look right now, you've got you know, the properties that have always philosophically invested in their in their assets and even we do the same thing. If we have a restaurant that's not performing, we'll rip it out and put a new restaurant in. I think you see the same thing at the Wynn. You know, they've done that for decades, and it's it's not a surprise that relative to the rest of the competitive set that they continue to outperform. So it's it's a very kind of similar mentality, I think, in a way. Even though Steve's not there, they've kinda carried that on, and I think you see it when you walk through the property. It just looks and feels different, and I think customers appreciate that. And we're committed to continue to operate our businesses like that as well.
Stephen Grambling: Maybe one other follow-up. Kind of related here, but historically, I think there's always been this concern that some of the maybe weaker trends on the strip could ultimately spill over into the the locals market. It doesn't sound like that's happening at all, but curious where you would be looking out to see maybe the first signs of that. And should we have already maybe seen some of those to kinda highlight that there could be a decoupling here?
Stephen Cootey: I mean, I I'm sorry. Go ahead.
Scott Kreeger: I mean I thought it was during the first question. I mean, we're just a fundamentally different business. Right? So we tend to be a bit more recession resistant. I think if you look back since 1984, I believe the the the strip has had 11 times in that instances where gaming GGR was down. The locals market is at six, three of which are related to the the great financial crisis. One is related to COVID, and the other two are related to 2033 and 2014 when local GGR was down less than point 3% versus the strip at the same time period down 2%. Think it just goes back to where gaming centric We're not hotel driven. We're not convention driven. We're driven by local repeat customers that keep coming time and time again. And then going back to what Frank and Lorenzo said, that's why we are continually investing in our properties. That's why we love our locations. And we love you know, we and we we we love our locations because we think we are best positioned to not only separate ourselves from the strip, but best positioned to from the long-term favorable demographic profile.
Scott Kreeger: And I think one of the things that you have to remember and look at is while the strip may have some revenue declines, they still are a business that has to fill their rooms. Even if the rates are down. They're filling their rooms, which means you still need guest room attendance. You still need all those employees. To keep those rooms full. And so look. We we love our position on the market. We've been doing this for a long time. And the thing we love most about our strategy that is that we have the right locations in the market. All locations are not created equal. We're in growing markets. We're not on surface streets. We're on the beltways. We're we're all the new rooftops are being built.
Lorenzo Fertitta: And I we've we've talked a lot about the VIP and the the high-end gaming play and the higher-end restaurants, but I think we've also positioned the brand and the company such that we also have a strong value proposition. You know? Dollar 99 margaritas. Food specials in the cafes. We don't charge for parking. So we we provide a product that's accessible to people from all different demographic types and at the end of the day, people use our properties as their form of entertainment and getaway. From a local perspective. And we're really leaning into that when you see the type of amenities that we're adding to place to a place like Durango. You know? So
Stephen Cootey: Dollar 99 margarita resonates to everyone. Thank you.
Operator: The next question is from Brandt Montour with Barclays. Please go ahead.
Brandt Montour: Hey, everybody. Thanks for taking my question. The first one is just full year '25 disruption. I think you guys are originally looking for $25 million. Could you just let us know how that came in? The best of your ability to calculate that.
Stephen Cootey: Yeah. I think it it we it came in better than we thought. Brent. As I even just alluded to last quarter, I think we gave roughly million dollars roughly $9 million of disruption, almost $9.5 million disruption we expected in Q4 alone. And we came in at 5.1 for that quarter.
Brandt Montour: Okay. And then on the new Durango phase, we'll call it phase two, you know, I guess this is the second half twenty-seven opening. Do you foresee opening this in you know, one amenity at a time? Is it gonna be one big grand opening? And then in terms of the breakout, I mean, you're not gonna break out the March, but just when we think about your return thresholds, how much of those how much of that total project spend is gaming versus nongaming? Maybe we could do it that way to help us try and model out the returns on this.
Lorenzo Fertitta: This is Lorenzo. I mean, our expectations is that we would get similar returns than what we've seen, on the project so far itself. You know? Kinda low low low teens, growing to mid-teens, and eventually growing to kind of our 20% threshold that we've seen historically. I think well, I know that we will open that property with all of the amenities open but for possibly one of the food and beverage amenities might trail by a a, you know, two, three, four months. Still working on that. But the vast majority call it 90, 9095% of the amenities will open with one big bang. That's what the way we like to do it. We open, you know, our new builds. And then relative to a breakout, I mean, I think when you look at the overall capacity that we have in Durango, we still have capacity even though we're obviously doing incredible business there. So we're adding how many slots are we adding? 400 flower. Hundred additional slots on our batch. Base of about 2,200. And you know, we we feel like with the entertainment amenities that we're adding there and just the sheer traffic and foot traffic that we're gonna have flowing through the building we're gonna get that benefit onto the gaming floor now on both table games and slots. So I can say we're very confident in the prospects for that project.
Brandt Montour: Thanks, everyone.
Operator: The next question is from John DeCree with CBRE. Please go ahead.
John DeCree: Hi, everyone. Thanks for taking my questions. Covered a lot of ground. Maybe two to round it out. At high level, can you guys talk about what you're seeing in terms of new database ads? I mean, you're you're obviously performing quite well. But are you still seeing the database grow? And then, you know, specifically outside of, you first-time visitors to Durango as the rest of the portfolio especially as you make these investments, GVR, Sunset, etcetera, are you seeing your database go to new customers that you haven't had before?
Scott Kreeger: Yeah. This is Scott. So even last quarter, I think we mentioned that we saw the database grow from the perspective of actual carded customer count. We grew the database this year. And an interesting it grew in every demographic segment of age. And then the contribution from a net feel perspective of that database grew in in every category of age demographic as well. Year over year.
Stephen Cootey: And, John, we continue to grow Durango. We continue to see new sign-ups even around the Durango area. Visits are up, net POs up. Spent per visit is up. So we love our positioning for that property. I'm looking forward to, the next phase opening up.
John DeCree: Awesome. I have one last one, Steve, for you. I think an easy one. We're not expecting much but just ask the outlook for OpEx inflation, anything notable this as we think about margins for 2026 other than the disruption, so specifically on any cost buckets?
Stephen Cootey: Yeah. I mean, we like where we stand from a margin. This is the twentieth '22. That we've hit above 45% in LVO without really sacrificing service or operational or customer quality. You know, labor is is is is the one notable, as you know. You know, we live in a very competitive environment in the valley, and our guests are and our our our employees are our first line to our customers. So I would expect that to go mid-single digits from a labor perspective. But, ultimately, you know, we're we're managing COGS. We're managing utilities. Insurance expense is really tail wagging the dog. That's slightly up. But for the most part, costs are are being managed.
John DeCree: Great. Thanks, guys.
Operator: Next question is from Trey Bowers with Wells Fargo. Please go ahead.
Zach Silverberg: This is Zach Silverberg on for Trey. Thanks for taking our questions. I first one, I believe last call, you mentioned there would be a handful of taverns opening this year. Could you remind us of the overall tavern strategy and your ability to source new or high-end customers and the return profile of the taverns.
Scott Kreeger: Yeah. This is Scott. We have current currently eight taverns. We just opened our third tavern about a week and a half, two weeks ago. The thesis for taverns is relatively simple. It's a micro market strategy where you can get into neighborhoods in areas where maybe we don't have as great a penetration. We have a thesis around our investments in taverns. We'd like to be in high net worth areas. We'd like to be in areas where there's growth. Versus the inner city population. And it's got a unique customer base, from a demographic standpoint. It tends to skew male. It tends to skew sports better. And it tends to skew young. So we like accessing that customer in the hopes that they grow into our, you know, overall platform of larger properties. So we have three more properties coming online in the first half and then the remainder in the second half of this year. But the the strategy from a growth perspective is is highly selective for us. We we wanna make sure that if we do enter into a new Tyvern deal that it fits our thesis and it's accretive.
Zach Silverberg: Gotcha. Appreciate that. And then one more. You previously stated the cannibalization backfill from Durango was about three-year process. We're approaching that later this year. Could you kind of update us on the timing and progress and if you're how you guys feel about it? Thank you.
Stephen Cootey: I think I think we feel very good about where we are from a cannibalization and from a and for and for more equally as important, the backfill to our core properties. You know, our core properties are growing with low single digits last quarter, which kinda proves out that fact. So we're in line to where we need to be to hit those targets.
Zach Silverberg: Appreciate the color.
Operator: This concludes our question and answer session. I would like to turn the conference back over to Stephen Cootey for any closing remarks.
Stephen Cootey: Thank you, everyone, for joining the call today, and we look forward to talking again in about ninety days. Take care.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.